Operator: Ladies and gentlemen, thank you for standing by and welcome to the Datto second quarter 2021 earnings results. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions]. As a reminder, this conference call is being recorded. I would now like to hand the conference over to your host, Mr. Ryan Burkart, Director of Investor Relations. Please go ahead.
Ryan Burkart: Thank you operator. Good afternoon everyone and thank you for joining us today to review Datto's second quarter 2021 financial results. With me on the call, today are Tim Weller, Chief Executive Officer and John Abbot, Chief Financial Officer. During this call, we may make statements related to our business that would be considered forward-looking statements under federal securities laws, including projections of future operating results for our third quarter ending September 30, 2021 and full year ending December 31, 2021. As a result of a number of factors, actual results may differ materially from those projected in such statements. These factors are set forth in the earnings release that we issued today, under the section captioned Forward-Looking Statements. And these and other important risk factors are described more fully in our reports filed with the Securities and Exchange Commission. We encourage all investors to read our SEC filings. The following statements reflect our views only as of today and should not be relied upon as representing our views as of any subsequent date. In addition, Datto undertakes no obligation to publicly update or revise any forward-looking statements made here. Additionally, non-GAAP financial measures will be discussed on this conference call. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures is available in our second quarter 2021 earnings press release, which can be found on our Investor Relations website. A financial supplement and webcast of today's call are also available on our Investor Relations website. I would also like to inform you that we will be participating in several investor conferences in coming weeks including the BMO Technology Summit, the Jefferies Software Conference and the Citi Technology Conference. Please reach out to me if you are interested in joining our schedule. With that, I will turn the call over to our Chief Executive Officer, Tim Weller. Tim?
Tim Weller: Thank you Ryan and many thanks to everyone for joining us on this call this afternoon. We are excited to report strong Q2 results and to raise guidance again for 2021. I will begin with a few highlights from the quarter, followed by an update on security, the central theme for us and for MSPs in 2021. Then I will update you on progress in the cloud. And finally, I will turn the call over to John to discuss our financial results and guidance in more detail. The second quarter was one of strongest quarters in our history as the momentum we have seen recently accelerated in Q2. Subscription revenue growth was 21% year-over-year. We continue to benefit from a currency tailwind, but even in constant currency the year-over-year revenue growth was up 250 basis points from the Q1 equivalent number. So we are pleased with the continued acceleration. This is our highest growth rate since the start of the pandemic and of course, now off a higher base. Once again, we saw strength across products, led in absolute magnitude by the continued rebound in our BCDR product, which was great to see and by sustained high growth rates in SaaS protection and RMM. We ended the quarter with $598 million of ARR, which represents another strong sequential increase and is a key leading indicator of revenue growth. In Q2, adjusted EBITDA was $45 million and we generated more than $22 million of free cash flow, representing our fifth consecutive quarter of positive free cash flow. In addition, we added 500 net new MSPs in the quarter, up from 300 new additions in Q1, bringing the total number of MSP partners we serve to 17,800. Overall, I am proud of the way our team executed in delivering a great quarter. Now let me shift to a few industry comments. It's a good time to be an MSP. Digital transformation and cybersecurity are the top strategic priorities for many small and medium businesses, SMBs around the world, driving strong demand for managed services and the outlook is bright. Based on our annual state of the MSP survey, MSPs expect these two trends to continue to drive revenue growth for years to come. Most MSPs are reporting optimism about 2021 and the future. But the challenges are also growing for MSPs and chief among them is an increase in cybersecurity attacks, which represent both opportunity and risk for MSPs and their clients. These days, rarely a week goes by without another high-profile security breach in the news. This environment creates opportunities for MSPs in the form of growing their revenue from being a trusted security provider for their SMB clients. And it creates risks for MSPs because they themselves are increasingly under attack, particularly if their own tools such as RMM or internal scripts are vulnerable to being weaponized to use against their clients and cyber attacks. And of course, if their SMB gets successfully attacked and cannot recover, then the entire MSP relationship is at risk. At a more practical level, there is a challenge for MSPs that they simply cannot keep up with the fast moving global security threat actors and evolving attack vectors. Some visible recent events have crystallized this for the MSP industry. In the next 12 to 24 months, we will see them rethinking their technology stacks and vendor choices. The vast majority of MSPs now provide managed security services in one form or another. That's why security has been in our core for years and I want to revisit our three concentric wings model for security, securing Datto, securing our MSP partners and helping those partners in securing their SMB clients. Ring one in the center and of highest priority is securing Datto. Here, our investment is high and rising continuously. Our security effort isn't new. The core of our team has been in place for years and we work every day to infuse the principles into our culture. Strong cybersecurity involves not only people and technology but also processes, training and auditing that are dynamic over time. We are deeply committed to making security everyone's priority at Datto and it's ingrained in our culture from companywide wide training to the software development process itself to pen-testing to more training, security is a way of life at Datto. We believe that our well-funded ongoing and proactive approach to security is critical to our long term success. Ring two is securing our MSP partners where we offer a thought leadership for MSPs in the form of content, webinars, live events and even direct interaction with our security team. A great example of this is the Partner Security Forum that we recently hosted immediately following a well-publicized global ransomware attack that severely impacted MSPs. While the attack does not impact Datto or our products adversely, we held this forum to personally engage with our partners, reinforce security best practices and share details about our own policies and practices. Over 2,000 partners attended the forum and had their questions answered by our most senior security and engineering leaders. In addition, for this specific global attack, we released an agent detection monitor to sign, to identify compromised devices similar to the technology we offered to MSPs in the wake of other recent attacks. This combination of partner engagement and security, both in a time of crisis and day-to-day along with technology we create in near real-time, helps our partners become more severe and is what ring two is all about. That brings us to ring three, which is about MSP securing their SMB clients, using Datto technology products and making a good margin while doing so. The new products we have on this front are the Datto RMM ransomware detection and isolation product that was launched last December and a soon to be launched product based on the technology we acquired in our purchase of BitDam. And let's not forget our core continuity products which are the backbone of any comprehensive cyber resilient strategy. I want to touch on each of these briefly. Datto RMM ransomware similar detection and Isolation is aimed at stopping the spread of infection by identifying and isolating hosts that have been infected. This product has proven to be very effective, blocking a high volume of ransomware attack each week and has seen incredible traction with new and existing partners since it's release late last year. We are committed to ensuring our partners are well protected against malicious activity and to deliver on that promise in light of recent new threats, we decided to offer ransomware detection for all Datto RMM partners at no additional cost to the base RMM product for the next six months. We think this is the right thing to do for our partners in these challenging times and we are confident that it will drive even stronger product adoption over the long term. With this offer, we recently surpassed a significant milestone in our ransomware detection, which is now deployed at over one million endpoints, doubling from the 500,000 we reported on our last earnings call. This is a testament to the growing threat of ransomware within the MSP community. I have to give a shout out to our RMM team for listening to our partners, innovating and delivering a product that is sorely needed in the market. In addition to ransomware detection, we continue to be on track to launch a new email and collaboration security product soon. The product is based on the BitDam technology we acquired earlier this year and it is tailored for our MSP partners. We are on track with the launch plan and it couldn't come at a better time for partners. While this product, Datto RMM ransomware detection and isolation and other new security products we are developing are all on the front lines of defense, our continuity solutions, including BCDR and SaaS protection, continue to play a critical role as the last lines of defense enabling true cyber resilience. Experts increasingly recognize that a well-funded and determined attacker could breach any network eventually and it's important to be able to respond in real time and operate your business while simultaneously remediating the security breach. This is why the explosion of ransomware is a key driver for continuity overall. Datto Continuity allows our partners and their SMB clients to operate on Datto platforms while they eradicate the threat other their primary systems. We also recover and restore applications and data for victims of cybersecurity attacks thousands of times a year. In many cases, even after the attackers have locked or erased primary production servers and the associated backup images. So with Datto continuity, MSPs can help their clients operate through a ransomware attack and restore their data to any point in time as if the ransomware attack never occurred. That's ring three and we are just getting started. Look for us to develop new products and features that allow MSPs to grow by selling security with Datto and we will integrate these technologies into a strong security stack. Now, let's talk about the cloud. Every Datto product was born in the cloud. We are cloud-native as opposed to having started life selling perpetual software licenses for on-premises operation and then later lifting and shifting to cloud-hosted. Our cloud-native approach, being in the cloud since inception, has strong implications for our partners in terms of high security and reliability. Consider Datto RMM, it was built on best of breed AWS platform tools and leverages both our own and Amazon's security. It scales quickly from nothing to millions of endpoints. It's entirely cloud managed for an MSP, who themselves might have tens of thousands of client endpoints. Datto SaaS protection is the same, operating seamlessly between a client's Microsoft 365 or Google Workspace cloud instance and the Datto cloud. Our new email and collaboration security product is also entirely cloud-based. Our Autotask PSA was born in the cloud and never deployed on premises. And finally, our flagship continuity product. Here again, it's cloud managed, but, of course, for performance and bandwidth reasons, most partners prefer to deploy our service both locally on our high-end Intel servers and within the Datto Cloud so they can virtual machines and recover and restore applications in more flexible ways. With the upcoming launch of Datto Continuity for Microsoft Azure, MSPs will get Datto security and reliability with client applications that are entirely in Azure, all with a simple user interface they know and trust. Datto Continuity for Microsoft Azure is just wrapping up a successful beta program and is on track to begin commercial deployment with early adopters soon with general availability later this year. In summary, we are pleased with our first half results and the strong momentum we have across our business today. Looking ahead, we are excited about the new product launches in security and cloud planned for the second half of 2021. We remain well-positioned to capitalize on the large and growing opportunity to help our MSP partners manage, protect and connect their SMB clients' applications and data in an increasingly digital world. Finally, I want to thank everyone on the Datto team for all of their hard work and our MSP partners for their continued support. With that, I will turn the call over to John.
John Abbot: Thank you Tim and good afternoon everyone. We are pleased to report strong second quarter results today. As I review our numbers, please note that I will be referring to non-GAAP metrics, unless otherwise specified. You can find a reconciliation of non-GAAP measures to GAAP measures in the press release that we issued this afternoon and in the supplemental financials posted on our website. Our second quarter results reflect strong momentum across our suite of products and continued acceleration of our business. Second quarter recurring subscription revenue was $141.7 million, up 21% year-over-year, which includes a benefit from foreign exchange rates of approximately 4%. Subscription revenue comprised 93% of our total revenue, which came in at $151.6 million in the quarter, representing 22% year-over-year growth, exceeding the high end of our previous guidance. ARR at June 30 was $597.9 million, up 18% from $506.8 million a year ago and it increased over $25 million sequentially, maintaining the very strong increase we saw in Q1. We ended the second quarter with more than 17,800 MSP partners, a net increase of 500 in the quarter, up from net adds of 300 in Q1. We are now adding net new partners at a pace similar to pre-pandemic levels. We also grew the number of MSPs contributing over $100,000 in ARR to more than 1,250, up from 1,000 a year ago. Our sell-through model continues to drive strong growth within our installed base of partners as they roll out Datto solutions to more SMBs. Those SMBs consume more data or seats and they both adopt more Datto products. Our second quarter gross margin of 74% was in line with the robust margin we saw in Q2 2020. Second quarter operating expenses were $75.4 million, a 26% increase from Q2 last year as we continue to invest with a focus on security and cloud to drive revenue growth. The vast majority of the increase in operating expenses was driven by personnel costs. On a constant currency basis, OpEx increased 23% Within OpEx, R&D expenses were $20.3 million, an increase of 38% from Q2 2020 which underscores our continued investment in technology development and security. G&A expenses were $22.8 million, an increase of 27% over Q2 last year, primarily driven by increased expenses associated with being a public company. Sales and marketing expenses were $30.3 million, an increase of 23% from Q2 2020. And finally, depreciation expense within operating expenses was $2 million compared to $2.5 million in Q2 last year. Operating income for the second quarter was $37 million or 24% of revenue compared to $32.4 million or 26% of revenue in Q2 2020. Adjusted EBITDA for the quarter, which excludes stock-based compensation, restructuring costs and transaction related and other expenses, was $44.9 million compared to $38.9 dollars in Q2 2020. Our adjusted EBITDA margins were 30%, a slight decline from 31% in Q2 last year. As we discussed on recent earnings calls, we are investing in security and cloud to drive revenue growth and as commercial activity returns to pre-pandemic levels, we expect adjusted EBITDA margins will decline to levels in the low to mid 20% range. Free cash flow in the quarter was $22.2 million compared to $17.2 million in Q2 2020. And we ended the quarter with approximately $180 million in cash. Turning to guidance for the third quarter and full year. The increase in our 2021 revenue guidance reflects our positive outlook to the continued acceleration of the business and our EBITDA guidance includes the impact of incremental investments in the important areas of security and cloud, on top of significant ongoing investments in our core products to drive long term revenue growth. For the third quarter of 2021, revenue is expected to be in the range of $153 million to $155 million. Adjusted EBITDA is expected to be in the range of $32 million to $33 million. Our Q3 revenue guidance represents year-over-year growth of 18% at the midpoint, including a 2% FX tailwind. For the full year 2021, we are raising our revenue guidance to a range of $608 million to $612 million. We are also raising our adjusted EBITDA guidance to a range of $151 million to $154 million. Our full year revenue guidance represents year-over-year growth of approximately 17.5 at the mid midpoint, including a 2.5% FX tailwind. This is up meaningfully from our prior guidance for full year growth of 15% which included a 2% FX tailwind. We expect subscription revenue to account for over 93% of total revenue in 2021 and for the subscription revenue growth rate to continue to increase through the end of the year on a constant currency basis. We expect capital expenditures to be in the high single digit percentage range of revenue. As a reminder, for non-GAAP income taxes, we use an effective tax rate of 25% and for calculating EPS we estimate approximately 169 million fully diluted shares for Q3 and 167 fully diluted shares for the full year. In closing, we believe our Q2 results and 2021 guidance reflects the ongoing reacceleration of the business. We are very excited about our momentum going into the rest of the year and look forward to reporting on our progress in the quarters to come. With that, we will open up the call for questions. Operator?
Operator: [Operator Instructions]. Your first question comes from the line of Saket Kalia from Barclays. Your line is open.
Saket Kalia: Okay. Great. Hi guys. Thanks for taking my questions here. Tim, maybe first for you, I was wondering if you could talk a little bit about the competitive environment, especially for other service providers to the MSP industry? And I think you alluded to this in your prepared remarks. But maybe just to ask the question directly, a couple headlines on attacks using sort of competitor sort of tools for MSPs. The question is how do you feel that the competitive landscape, if it is changing at all in sort of this MSP focused space? So does that make sense?
Tim Weller: Yes. Hi Saket. It does. Let me try to just writing thinking, you know, let me try to address that in sort of general and I will talk about the specific pieces of your security question too. So I would say, in general, the competitive landscape has not changed that much in recent quarters. Industry, obviously, MSP is doing really well. So I am sure other vendors are having some success. In each of our product categories, we have a few day-to-day competitors and they are often been different by category or even geographic region. We win against MSP focused vendors on strength of technology, selling a broad platform of solutions and we focus on reliability, performance, security and of course, everything we do is born in the cloud. So that's kind of how we play it against the MSP focused vendors. Obviously, there are competitors that are not MSP focused companies, where they have an MSP channel effort and there we of course win by tailoring our solutions to MSPs, leveraging those deep and long relationships with a partner. So we are all in the channel and we have been for a decade. Within the channel and in terms of some of the headlines security attacks you mentioned, I would say, short-term absolutely a positive for us. We have woe over some of those, for example, RMM partners who are looking for an alternative. Our focus, as you might imagine, always has been helping MSPs overall. We had a long weekend, the one weekend the summer, just trying to help people get back on their feet. And we are never trying to attack a competitor who had a negative event. But obviously, we compete in the marketplace and I would be wrong if I didn't tell you it's a short term positive. Longer term, I think the main impact of not only the recent headline attack, but just previous visible events, these make the MSP community much more deeply aware of the global threat to their clients and their own businesses, which triggers various serious security conversations from RMM to continuity, everything in between. And we feel well-prepared to have those conversations. I talked about that series of webinars and all the one-on-one contact we have. It also makes MSPs evaluate candidly their entire tech stack and they are asking vendors now tough questions about internal security practices. We think going forward, they will be moving in as an industry of security-first mindset. And again, we will welcome those conversations. We are making the investments here for years and we will continue to invest ever more. As a citizen, it may be frustrating. As security company, it's just table stakes, I think, frankly for any tech company would tell you the same thing.
Saket Kalia: Yes. Absolutely. That's well said. John, maybe for my follow-up for you. Great to see the ARR acceleration. And you touched on this a little bit in the prepared remarks around FX and the contribution to revenue growth. But I was wondering if you could talk about FX from an ARR perspective? And what, if any, that is contributing to the ARR growth that we are seeing?
John Abbot: Sure. Thanks Saket. FX does have some impact on ARR. You may remember that we adjust the FX in ARR once each year at the beginning of the year. And this year it added $3.6 million to the ARR in Q1. So then as you look at it another way and I think you may be looking at growth rates, year-over-year growth rates, the reported growth rate of 18%, on a constant currency basis would be 17%, about a 1%, under 1% really impact on the year-over-year growth.
Saket Kalia: Got it. That's really helpful. I will get back in queue. Thanks guys.
John Abbot: Great. Thanks
Operator: Thank you. Next up, we have Sanjit Singh from Morgan Stanley. Your line is open, sir.
Sanjit Singh: Yes. Thank you for taking the questions and congrats the team. It really looks like we are on the way back to 20% growth, which is great to see and definitely earlier than what we were expecting, so congrats all around. I wanted to just follow-up on Saket's question on the security topic. So of the sort big four MSPs, of you have two of them that have suffered meaningful security incidents that have disrupted their customers. So Tim, I know you have addressed this a little on the script and in the previous question. But if you can just sort of pinpoint from the MSP community side, how you are sort of giving them confidence? You mentioned about them sort of reevaluating their technology stack over the next 12 to 18 months. From a security angle, what is sort of the one, two, three bullet points of why they should be gravitating towards Donna versus some of the other players in the space?
Tim Weller: Yes. Thanks Andrew. I think certainly from a comfort perspective, you do everything from the webinars we walked though for an hour with people, here's how our supply chain work, here's what we do in QA, here's what we do in continuous release processes. We answer questions, surveys. I have seen MSPs shooting over list of 15 questions. They want every vendor to answer completely. I did one of those myself that weekend late on a Friday night. I didn't know I was going to get grilled by the guy. But to give you a sense, I spent 30 minutes with a partner I have talked to probably twice in my life and he was really coming at me. We are going to ask every vendor these tough questions. And he seemed satisfied. I get an email from the salesperson afterwards and said the guy wants to look at our entire stack. I wasn't selling him anything. So it's very clear they are rethinking and pressing our CSOs on calls, all of our senior reports in to him are on call. So I think every vendor in the world, not just MSP who is probably feeling that kind of a thing. You had a question about I think how we have approached it? Look, we haven't said we will be everything to everybody. We are going to build what we believe will be a fairly full stack. But there will be a layered approach. Security experts will tell anybody he has a layered approach. We start off by recommending basic antivirus for endpoint protection and there's a bunch of good ones there. Those tend to work to prevent intrusion and infection by malware with signature-based approaches. So our approach within RMM, for example, is complementary. We are watching the actual machine, system activity to find an isolate malware that has slipped past an AV or EDR. When we stop it and we have many of those saves every week now, it means other protection has slipped and the malware would have gone on to do its work and damage. And we go beyond individual endpoint. We look across multiple endpoints. The MSP gets an entire universe of endpoint view, which helps them manage ransomware attacks which increasingly are orchestrated across systems. So all controlled in Datto environment by the cloud. Then we are about to take it up a notch with the pending launch of our email and collaboration security within our Datto SaaS protection, a technology we bought from BitDam earlier in the year. And we are going to bring now where ransomware now looks to be, Microsoft 365 environment, including email teams and so on. And that has to be the largest security attack vector when you are thinking about SMB. So that's going to be very shortly now a meaningful leap in our security coverage. And I think broadly covered now across end users and the line of business apps. And then finally Continuity is the last line of defense and whether it's BCDR, SaaS protection, Cloud Continuity, we knew that as kind of core cyber resilience and absolutely thousands of times a year recovering, restoring applications and data. And that mix shift of why you are restoring has surely shifted towards ransomware and then even live attacks. We see live attackers attacking production servers, destroying backup images and we are able to restore for our partners back to points in time as if those attacks never occurred. So we desire and are already playing up and down the full security stack. We are filling in the holes and we will continue to do so. Does that help characterize it?
Sanjit Singh: No, that was an excellent job, Tim. And I appreciate it. And then as a follow-up question, sort of dovetail on your answer there. Reiterated to the timeline for the security launches and for Datto Continuity on Azure, which is also really encouraging. Some sort of go-to-market MSP enablement. Can you give us a sense of when these services come out of preview and beta mode? Any sense of, like in terms of your important MSP partners, how ready are they to like go-to-market with these offerings once you get into this sort of GA?
Tim Weller: Yes. It's a good question. I think on the kind of Microsoft 365 environment, email, teams, et cetera, you have to assume every MSP and virtually every SMB is there in some way, shape of form. So that's an attach that's trying to take your SaaS protection clients and say, hey, do you world-class email protection? You want teams protected? Do you want to stop malware or ransomware inside there? So that's going to be more of an attached sale with existing partners. But at the same time, we think it's a headline bundle now to the degree we were losing to other competitors who might have had a bundle there. But that was a little more straightforward. I think the Azure one is one where you want to go on the marketplace and teach every MSP Azure. So your initial target set there is MSPs that are familiar with Azure and wanting something that we are now about to deliver. We are confident it's going to be very unique, as I described in terms of technology and product feature set for them. And the beta has really been about getting that uniqueness. And at the same time, there's a defensive of nature to that because if somebody is going to leave on-premises and go to Azure, up until this day, we wouldn't have had an offering. But we think there's a big universe of MSPs out there that are already using Azure and not happy with their current, either primary backup solution or even in the rare case with whatever they are doing on continuity. So that's a more readymade market. The first quarter will be a little more hand-to-hand combat and trying to feel our way into the market. But the beta response has been fantastic.
Sanjit Singh: That's great to hear. I will cede the floor. Thank you very much. Thank you.
Tim Weller: Yes.
Operator: Thank you. The next question comes from the line of Jason Ader from William Blair. Your line open, sir.
Jason Ader: Yes. Thank you. Hi guys. I wanted to follow-up on the last question and actually ask Tim, what steps has Datto taken to ensure that your code, your code is not hijacked by criminals in the way that some of your competitors have seen where the malicious code is injected and then the RMM goes out and then all of a sudden, they can get into your customers networks?
Tim Weller: Yes. I will give you sort of CEO level knowledge of it. We could go to the CTO, the CSO or right down to the security engineer level in subsequent conversations. It's something we didn't just think of over the July fourth weekend. I will tell you that upfront. We have been thinking about supply chain, software, hardware, otherwise now for several years. It is a vexing problem for everybody. We start culturally and build it in from the beginning. There's no engineer at Datto that doesn't think about security. They know it's their own responsibilities. It's not the CSO and security team's responsibility on the backend. They are like internal controls in a financial world. You want to build it in to the code into the steps. We run all the tools you would probably imagine the do code reviews. We have internal cyber attack teams that really take the gloves off and are allowed to sort of poke at everything from how we build code to even social engineering, people give up passwords that are in key spots in the supply chain. And I think when you think about that cloud from inception comment, that also drives right to the heart of it. You can't take Datto RMM and sit around in your shop and look at it. It's not on your servers, right. It is in the cloud, in this case, Amazon's cloud. So that also sort of gives you another line of defense, right. And you see the world trying to move to kind of cloud-based really Platform-as-a-Service types of offering. So it does a dozen things. We walked through some of those on our call with MSPs. But as I have always said in security, we will tell you as much as we can but we are not going to tell you all the details. And we are not going to translate it into Russian, Chinese and other language where a lot of these attackers live. So there's some balancing out there. But just know, we didn't just start this. This is a multiyear year journey we have been on and we are never done. You are never done.
Jason Ader: Okay. Great. And then a follow-up for John. John, the Q3 guide implies a pretty big jump in OpEx. I think we are modeling something around $12 million sequential expansion in OpEx. I know you said, you gave some reasons why your OpEx will be higher, but that seems like pretty extreme. Can you walk us through where that might be coming from?
John Abbot: Sure. And we recognize it reflects a pretty big increase. It's consistent with what we have been saying. It's really the ramp in investments predominantly in people, personnel and predominantly in support and security and cloud initiatives and new products initiatives along those lines. And that hiring has been ramping throughout the year and the other component is an expectation of increased travel, in-person events that come with an opening up of the economy and move away from sort of the pandemic shutdown. We don't have a crystal ball on that. So some of that is sort of our guess as good as anybody. We are seeing some increase in those areas. You can tell even from our results in Q2. They haven't been increasing quite as quickly as we had bought, But isn't exactly mild. Those are really the big drivers. There's nothing new there and it's consistent with the overall sentiment.
Jason Ader: So there could be a little bit upside if we go back into some kind of semi lockdown?
John Abbot: Yes. That's right.
Jason Ader: Okay. All right. Thank you guys.
John Abbot: Absolutely.
Tim Weller: Thanks Jason.
Operator: Thank you. And the next question comes from the line of Matt Hedberg from RBC Capital Markets. Your line is open, sir.
Matt Swanson: Yes. Thank you. This is Matt Swanson, on for Matt. Tim, the MSP adds were really strong in the quarter. Could you talk a little bit more about kind of the dynamics that made that up? Are we seeing less churn or more adds as things are starting to normalize? And to the extent that churn is improving, can you talk a little bit about kind of the health of the MSP customer base, those SMBs, how that economy is looking from your conversations?
Tim Weller: Yes. Hi Matt. And John may have an numeric comment or two. But we have said in the last few calls, that even all the way through 2020, we had real solid gross adds. So gross adds are still very solid. It is true that the churn side of MSPs, probably from the beginning of the year, has dropped and you see it kind of continuing now to drop. So we have known the gross was under there and we just have to uncover it, get to the other side of pandemic and reopening. We think there's still some room. We don't think we are 100% out of that. You have got this Delta variant. it depends on which country you are talking about in terms of, are getting closer or we are not as close to normal. And I think that applies to the SMB churn side as well, right. There's still active debate about stimulus money and is it drying up. And we broadly believe MSPs have told us, last year it was about stabilizing their business and this year they are back on growth. And I think overall, the industry environment is meaningfully better than it was even six months ago. But nobody's going to tell you that their SMB basis is completely back to normal health again. So we still think there's acceleration in reopening in the future just from underlying economic issues in most places. So that's probably as much as I would know, John. I don't know if you have specific numbers we have given, you want to add to that. But it's strong gross adds throughout the last two years and just less churn now.
John Abbot: Yes. No, I think that covers it. Thanks Tim.
Matt Swanson: Yes. That's super helpful. And then if I can kind of follow-up on the securities theme of Q&A here, but more on the product side. When you think about your roadmap, I guess two questions. One would be, how partner-influenced are the areas that you are moving into in terms of the conversations you are having with MSPs and their pain points? And then I guess the other side of that would be, Tim, you mentioned bringing out more products, Is there any cadence that you be comfortable kind of sharing like what your goals would be? Is it a product a year? Two products a year? Kind of how you think about building out the stack?
Tim Weller: Yes. Let me go backwards on those. Cadence wise, I would say no. I mean we have gone from having continuity and we have always had, as I said, some security built into the rest of the tool set. But RMM is sort of swung to the forefront over the last 18 months or so with endpoints. And we got out there starting Q4 last year with our ransomware detection and isolation. We have got the BitDam technology coming now. So there's a big focus, I think, for everybody on endpoints. Obviously, across endpoints, our RMM starts come to play There's still a few holes. If you have got out your guide on the enterprise side and look to your eight or 10 kind of key things in the stack, we want to fill a couple of those in. I don't know that we would build all of them. For example, I don't know if we ever discussed building antivirus. There's some great antivirus and endpoint solutions out there. We probably just let people pick their favorite. But I don't want to tip our hand. We have had two or three other things in development in terms of product areas and security that we think will be perfect for MSPs and get us much closer to that full coverage in terms of what they are trying to do. We do engage them for sure. All summer, we have had people testing on our email security, for example. A lot of live data and we are going to get a lot more live data now, of course, from the ransomware detection being over a million endpoints. We tend to focus on ease of use on cost points. Where does the MSP need the cost point so they can get margin and then on helping them market. So you don't have a situation where almost 18,000 partners, not so many of them have CSOs. Not so many of them are security experts. And so a lot of what we are doing is bringing expertise to them, help them translate that. How can you get the doctor's office that's your client? How you get them thinking about paying it $20 a month for security. It's such a low number to protect all those endpoints in any business, that's got real revenue. And so we have got to move out of that $1, $2 a month antivirus mentality to $10, $20 a month to protect your individual users. And I think that's probably where we spend the most time with MSPs and helping again tailor those solutions and then, of course, integrating to our product sets. We want them to be easy to use.
Matt Swanson: That's super helpful. Thank you guys so much for the time.
Tim Weller: You are welcome..
John Abbot: Thanks Matt.
Operator: Thank you. And your next question comes from the line of Kirk Materne from Evercore ISI. Your line is open.
Kirk Materne: Yes. Thanks very much. Tim, maybe just to follow-up on your last comment on sort of environment out there. Are they reinvesting in going after new clients at this point of time? Or is a lot of the growth coming to them from just expansion into their assisting customers? I assume a bit of both. So I was wondering to see maybe heading on one side or the other.
Tim Weller: Yes. I think the answer is not particularly helpful. I would say it depends, right. I had a couple of MSP calls today just by coincidence. And the one guy is about to merger with other person. He has a million bucks. He has his sight set on $100 million. He absolutely wants to bless the country and thinks he has got his stack in order and he wants to go take out every MSP he can get which is fantastic for us because it's a good strong Datto partnership. And in other cases, you had people that served restaurants and spent last year trying to get back on their feed and are now just starting to think about the penetration. So we do a fair amount on marketing. All our business development and all those events, our conferences are all around both dimensions. I think it's easier for them in general to go find new clients because going back to the existing client and saying, fee, can you pay me 10$ more, 40% more, what's that conversation look like? And that's a little tougher. I would say, MSPs in general start on the tech side of the world, not the sales side of the world. But again, you have got all flavors and all varieties. And we are trying to support them in both. I do think security will be another real stair step offering. Maybe year they were putting in Zoom or something, remote work. It caused the clients to have to pay some more money. But this year, we think security really is the headline for them. And we are encouraging them. We have got to go ask for more money. You have got to get paid for your time, if you are going to be the security expert for your clients.
Kirk Materne: That's helpful. And then maybe one other. Obviously, jump in the number like ten year or 100,000. I was just kind of curious on the net in ramps, is your landing size going up at all these days, given the breadth of your product? And you mentioned a couple customers talking about sort of moving over the whole stack. So I was just kind of curious if your landing ARPU is going up as well?
Tim Weller: I wouldn't think so. John, do you have some data on that? I mean we still tend to add one product.
John Abbot: Yes. A couple thoughts there. First is just a reminder that new partners do tend to come along at a smaller ARR for MSP, start with one product and then grow. Maybe they even start with one instance of one product, whether it be installation and then grow. That being said, to your point, with more products on the truck today than we had three or four years ago, we are bringing in new MSP partners with a different first product than just BCDR. But I would say that MRR, ARR for those new MSPs that we are adding has held up very nicely even today and remains strong relative to like it has been historically..
Kirk Materne: Super. Thanks guys. Congrats on the quarter.
John Abbot: Thanks.
Tim Weller: Thanks Kirk.
Operator: Thank you. And your next question comes from the line of Fred Havemeyer from Macquarie Group. Your line is open, sir.
Fred Havemeyer: Hi. Thank you and congratulations on the strong quarter here. A high-level question here around just what you are seeing from both MSPs and the small businesses that they are serving? Do you see that out there as small businesses are sophisticated enough in their approach to cybersecurity but they recognize business continuity solutions are needed to hedge against wide widespread outages from ransomware? Or is just something that you are seeing on the security side of the business that's more kind of MSP led in this case where MSP is really guiding small businesses about best practices for cybersecurity?
Tim Weller: It's almost surely, at this stage, mostly MSP led. As one of my partners famously said, you have either had an attack or you have not had an attack. If you have had an attack, you would pay tens of thousands of dollars to prevent the next one. If you haven't, what's the big deal? And why am I paying for this now? It's insurance by any other any nature in any domain, right? And so MSPs are the ones that are leading us now. And it's interesting. We have always had some MSP, some that have sort of said to clients, I won't take you on if you don't use Datto Continuity annuity because I know at some point, you will have some problem, whatever it is, hurricane, wildfire or cyber attack, It doesn't matter. And I won't be able to restore your environment. And if I do that, you are going to fire me as an MSP. So Datto is required. And they might have some other vendors and other areas that are required. And I think that's where it's going. I think MSPs are going to have to define their stack and just tell the law firm, the car dealership, whoever they are working for, this is our stack. I can't protect you if you don't let me put the securities backend. Here's the price. Otherwise, I can't be your MSP, right. That is fundamentally at the core what an MSP is doing, securing the digital assets, applications, data of their clients. And then we can talk about your website and other fun stuff you want to get into. But I have to start off just like a CIO in an enterprise, protection first. So we will see how that evolves. But then again, if an SMB or a neighbor has had an attack, of course, they are going to say, I want the best security stack you can get. But it really is the MSP driving and knowing they are exposed on that entire revenue stream if they have a breach. Those were the tough calls in the recent event. The MSP themselves has a tough call with the vendor. But calling your grocery store client and telling them they have had ransomware and you don't know how to unlock it. Just imagine making that call, not good.
Fred Havemeyer: It makes a lot of sense too with many of these cybersecurity policies because more selected and also just pricier across the board. Separately, but on a similar topic that some of the small business side trends. So, we have all been hearing about the impacts of tighter labor markets will steal the IT personnel. Are you hearing anything or seeing anything that may suggest that small businesses are increasingly looking at MSPs as a force multiplier in this competitive labor market?
Tim Weller: Not anything different that has been going on for a long time. It's hard enough for SMBs to get IT expertise. MSPs struggle with their IT expertise, which is why we tell them to lean on us in so many of these areas and why the webinars and other kinds of events we do are well attended. So I can't imagine it's anything different than you are seeing in the broader economy, You can read the headlines every day. It's a war for talent than I got to believe SMBs are facing that even more acutely on the tech side.
Fred Havemeyer: Makes sense. Thank you and again congratulations on the quarter.
Operator: Next up, we have another question from Koji Ikeda from Bank of America. Your line is open.
Koji Ikeda: Hi guys. Hi Tim. Hi John. Thanks for taking my questions. Just a couple from me. Maybe a question for John on the FX. As John noted pretty quickly here, I want to make sure I got it down right. I guess could you remind us what is that FX tailwind coming from? And then on the guidance, I wrote down, is it 2.5% tailwind now and before it was 2%. Is that right? And I guess last of question on FX is, does FX affect EBITDA at all or your operating expenses and how it goes on EBITDA?
John Abbot: Yes. Let me got through those. The FX exposure for us, it really comes from four predominant currencies, British Pound, Canadian Dollar, Euros and Australian Dollars Then your last question was, does it affect expenses? It does with affect expenses. I will give you an example, We said OpEx was up 26% year-over-year on a constant currency basis. Those OpEx numbers were up 23% year-over-year. So that gives you us a sense in Q2, it gives you sense.
Koji Ikeda: Got it. Yes. I got it. Okay. Cool. Okay. Thanks John. Thanks for that.
John Abbot: Yes. The tailwinds, Q3 and full year guidance.
Koji Ikeda: Oh, yes, Yes, please.
John Abbot: Yes. The Q3 guidance reflects 2% FX tailwind and full year is 2.5%, which obviously points to lower impact in the second half of the year than we had here in the first and second quarters. And just as a reminder, the last guidance we gave for the full year was 2% FX tailwinds. So just a little bit higher given what we saw here in the first and second quarters.
Koji Ikeda: Got it. Thanks John. And maybe a question for Tim, switching gears here to DattoCon. Saw that in the press release you guys are planning on holding and in-person or hybrid DattoCon in October. I guess any sort of commentary there on the scale? How you are planning on the scale and the size of event versus the last one you held? I think it was in 2019. Maybe any color on the initial traction at this point in time versus past DattoCon at this time in point? And how should we be thinking about new MSP pipeline build coming out of the DattoCon? Thank you.
Tim Weller: Yes. So look, I mean I have the same crystal ball you have watching everything from the local government numbers in Washington and Seattle where it's scheduled to large gathering, Delta variant, other variants, vaccine rates. So we are watching all the data like we were last year. Last year, we made the decision and it was clearly the right decision in hindsight on-site to cancel the event. This year, we have said it will be hybrid event. And I think the MSPs will decide how many people decide they want to come in-person, if that's possible. Clearly, health and safety predominate and if it's not possible, we won't do it. And we are not going to put employees, MSPs, other vendor partners. It's a large open ecosystem conference. So I would think a betting person would assume it's meaningfully smaller than a full size event in terms of in-person. But one thing that's happened and gone very well for us in the pandemic is, we have had some phenomenal 1,000, 2,00- plus person events, many of those actually. And so we know how to run large virtual events at scale as well. So we feel pretty well hedged. And we have got Plan A, Plan B on all those things. I wouldn't say that it's a transactional conference. So I wouldn't DattoCon happens or not, it's not going to be a big driver of that month or that quarter's numbers. We play the long game. We focus on relationships, education. There might be as many non-Datto partners as Datto partners at a show. There might be people that come and have no interest in Datto. And we are okay with all of that, right. We are on a high road in thought leadership and the conference really drives that. And I always liken it to kind of an RSA Security conference. So I think John gave some commentary on the OpEx for those Jason's question. It's a meaningful cost. So if it doesn't happen as much in-person, you buy fewer sandwiches and beers for people. So it's really a near term cost but a long term driver of adoption and thought leadership.
Koji Ikeda: Got it. Thanks Tim and thanks John for taking my questions. I appreciate it.
Tim Weller: You are welcome, Koji.
Operator: Thank you. And your next question comes from the line of Gregg Moskowitz from Mizuho. Your line is open.
Gregg Moskowitz: Okay. Thank you and good afternoon guys. I will be quick in the interest of time. The free ransomware detection promotion for RMM partners, when did it actually begin?
Tim Weller: It began right after the most recent event. So I want to say mid-July. Just the last few weeks. Just, we were coming up on 600,000 endpoints end of June. So we might have had a little more momentum for the next couple of weeks. And then big jump obviously, one-time jump with the free. But we think it will continue to have increased adoption through the end of the year. And we are happy about that. And obviously, our new deals, it helps you sell, helps velocity. We will start charging for it again in Q1. And again, we have seen higher velocity and higher ASP when we bundled it on a large deal in any case. So we think it's a win-win and it was just an opportunistic move.
Gregg Moskowitz: Yes. I agree. It seems like a very smart move and I was wondering and I realize it's very early, but if there are any data yet that indicate greater take rates or greater adoption of RMM since this promotion began? Or if you have that expectation of that occurring over the balance of those six months?
Tim Weller: Yes. It's hard to sift out the variables. I mean we had great strength in RMM in July. But you are coming off of one competitor event. You coming off a lot of people in the MSP space going, what's my stack? What's my RMM? You have got our free promotion. We didn't really sort of do it to try to juice the RMM number. So at best case, we have had a few weeks of data, it would be hard to sift that out. But it's definitely a product with a tailwind and building on the pandemic.
John Abbot: The only thing I would say, when we first launched it right back in December, we had a promotional period at that point. And I think we saw during that promotional period that it was helpful to the sales of RMM, whether it's selling more RMM, holding a stronger average selling price for RMM. So it's been hopeful number on a number of fronts. And then once we started charging for, it's actually delivering a little revenue on its own.
Gregg Moskowitz: All right. Perfect. And then John, I know NRR is a lagging indicator, but do you have a view of when that's likely to tick back up?
John Abbot: Well, we I think last reported that at end of 2020 and it was 111% and at that point, we highlighted that it was likely bottoming out in Q4, Q1. And it did in fact bottom out in Q4 and has been moving back up ever since towards historical levels. We are excited to see it moving and expect it will continue
Gregg Moskowitz: All right. Terrific. Good to hear. Thank you..
Operator: Thank you. Your next question comes from the line of Brent Thill from Jefferies. You line open, sir.
Joe Gallo: Hi guys. It's Joe, on for Brent. Really appreciate the question. John, how should we think about seasonality of ARR as going forward? If I am doing my constant currency math correct, I think there's a slight tick down in ARR added in 2Q versus 1Q. And I am aware 1Q is a record quarter. I just want to figure how to model going forward?
John Abbot: Yes. No, it's a good question. No real seasonality in ARR. I don't think there's, I mean, it's hard to say, you are in a pandemic, right. Historically, you might have said there was a little bit of within a quarter each month, it got a little higher and maybe over the course of year, it got a little higher. But I think with the pandemic, that's kind of gone out the windows. So I wouldn't suggest there's any real seasonality. You are right. Q1 was really an exceptionally strong quarter adding $26 million FX adjusted and we feel like we essentially matched that remarkable level here in Q2. More than triple what we did last year. I mentioned that the year-over-year growth rate of 18% or 17% FX adjusted. And looking forward, we have obviously guided for higher revenue range in Q3 and for the full year. ARR is obviously a leading indicator of revenue. And as I said on the call, we feel good about continued acceleration. And as you probably heard me say before, the growth and increase in that ARR delta quarter-over-quarter is not going to be linear. There will be some ups and downs like you are seeing now. But we feel a good about the long term increase in that number.
Joe Gallo: Okay. That's helpful. And then Tim, maybe stepping away from the numbers. Anything that surprised you in the quarter? or anything you want to emphasize that we might not be able to see from our vantage point outside the business?
Tim Weller: It's funny. We do. Actually we had an ace rep yesterday. And that came up and it's really even the Board last week commented, that just a pretty good quarter, broadly all regions, all products. So there's always something you want to do a little better. But we are a little bit of a reflection of the industry too, given our meaningfully large position as the leader. So I think it speaks as well for the industry. But the team worked hard and the engines are firing on all cylinders at the moment. So I don't think there's much to pick on in there. The environment is good.
Joe Gallo: Awesome. Okay. Thanks guys.
Operator: Thank you. Your next question comes from the line of Edward Magi from Berenberg. Your line is open sir.
Edward Magi: Hi guys. Thanks for taking my question and congrats on the excellent quarter. You noted that you doubled the number of endpoints, maybe with our RMM ransomware detection to over $1 million which is a great milestone. Are you able to share a little more info into to where this is in terms of the adoption cycle within the RMM customer base?
Tim Weller: We haven't talked about the total. It's one of those things that I think has a lot more to do with MSPs being busy though than from wanting the technology. I mean everybody by the end of the year, we have got this free bundle going now. So we might get more a level. But I described it in one of my answers, I think it was for Sanjit's question. Security experts recommend a layered approach. That doesn't mean you run on and put twelve layers on every endpoint. So I think a lot of this is just MSPs getting comfortable and recommending to a friend. And we removed price as a barrier. So now it's just what they have on their mind. Especially in security, you can imagine they are looking at many elements of a stack, But we haven't given an overall RMM endpoint number that I am aware of to-date.
Edward Magi: Great. Thanks for that. And pivoting away from the security talk and conducting our groundwork, we have heard the large public cloud companies in offering their competitive endpoint solutions, having some cases been looking to directly cut out the MSP off their channel chain. Does this matches what you guys have heard from the channel? How is this challenging you guys? And can we talk about how this plays into your overall strategic focus of maintaining an MSP focused go-to-market strategy?
Tim Weller: Yes. I will take a stab at that. The only large public cloud company that's meaningfully irrelevant in the MSP space today is Microsoft and I have got 30 years history with them and they are absolutely a channel company and have always created incredible room for the channel. And I think somebody actually flashed me something yesterday on an Instagram post so they have 400,000 channel partners. I don't know if that's true or not, but it could be. That's how they think about it. Azure is where MSPs are looking in general to take their Windows servers if they are going to move to Infrastructure-as-a-Service. Many MSP run their own data centers. So there's certainly some, what I might call, private cloud, whether it's a rack space, Equinix or even in the basement of the MSPs office where they are running Windows servers there. But they tend to not like enterprise, they tend to not be sort of as focused on Google or AWS, just given their scale. Microsoft made it very easy, very turnkey and we are very focused there. So you will see our relationship with Microsoft is strong. And we view that in the same way they do, helping to build SMB base within Azure and I think you will see us working quite closely together. So, no, the opposite of a challenge for MSPs. I think they are embracing the MSP channel and will continue to do so.
Edward Magi: Great. Thanks for that. Nothing further.
Tim Weller: Thank you Ed.
Operator: Thank you. And I showing no further question at this time. I would now like to turn the conference back to our CEO, Mr. Tim Weller for closing remarks.
Tim Weller: Well, thank you. Just thanks everybody way for joining. Sorry, it ran a around a few minutes over. I have been told the question queue is empty now and we always try to get them all done. So it was a terrific quarter and we look forward to seeing you all on the next call. Thanks for the interest in Datto and have a good rest of summer. Take care.
Operator: Thank you. Ladies and gentlemen, that concludes today's conference call. Thank you all for joining. You may now all disconnect.